Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:07 Greetings, and welcome to The Simply Good Foods Company fiscal fourth Quarter twenty twenty one conference call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. 00:31 It is now my pleasure to introduce Mark Pogharian, Vice President of Investor Relations. Thank you. You may begin.
Mark Pogharian: 00:38 Thank you, operator. Good morning. I am pleased to welcome you to The Simply Good Foods Company earnings call for the fourth quarter and full-year ended August twenty eight, twenty twenty one. Joe Scalzo, President and Chief Executive Officer; and Todd Cunfer, Chief Financial Officer, will provide you with an overview of results, which will then be followed by a Q and A session. 00:59 The company issued its earnings release this morning at approximately seven a.m. eastern time. A copy of the release and the accompanying presentation are available under the investors section of the company's website at www.thesimplygoodfoodscompany.com. This call is being webcast, and an archive of today's remarks will also be available. 01:19 During the course of today's call, management will make forward-looking statements that are subject to various risks and uncertainties that may cause actual results to differ materially. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today's press release and in the company's SEC filings. 01:39 Note that on today's call, we will refer to certain non-GAAP financial measures that we believe will provide useful information to investors. Due to the company's asset-light strong cash flow business model, we evaluate our performance on an adjusted basis as it relates to EBITDA and diluted EPS. 01:55 Additionally, adjusted results exclude the mark-to-market effect of the treatment of company’s private warrants. We have included a detailed reconciliation from GAAP to adjusted items in today's press release. We believe these adjusted measures are a key indicator of the underlying performance of the business. 02:11 The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release for a reconciliation of the non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. 02:28 With that, I'll now turn the call over to Joe Scalzo, President and Chief Executive Officer.
Joe Scalzo: 02:34 Thank you, Mark. Good morning, and thank you for joining us. Today, I'll recap Simply Good Foods' fourth quarter results and provide you with some details on the performance of our brands. Then Todd will discuss our financial results in a bit more detail, and we'll wrap it up with a discussion of our outlook before opening it up to your questions. 02:56 Despite the challenging environment throughout fiscal twenty twenty one, our business accelerated in the second half of the year with both of our brands generating nice gains. We executed well and exceeded our plan as net sales surpassed one billion dollars in fiscal twenty twenty one. 03:17 The diversification of our business provides us with multiple ways to win in the marketplace. We're particularly pleased with our growth in twenty twenty one across brands, key customers and products. New product launches were successful and our innovation pipeline is strong and focused on new formats that give us increasing access to new snacking occasions. 03:42 Looking back on the year, our entire supply chain team performed well in a challenging external environment. We responded quickly to the changing environment to minimize the effect on our business, customers and consumers. The collaborative work of our team with suppliers, manufacturers, and distributors enabled us to service our retail and e commerce customers as well as expand gross margin in an increasingly inflationary period that grew more challenging as the year progressed. 04:16 As many of our U.S. Food group peers have discussed, the cost and service challenges during the past six to nine months related to such things as procurement, labor and transportation will most likely continue throughout the coming year. Importantly, the price increase we announced in June that was effective September twelve provides us with a significant offset against these cost headwinds. 04:46 Our asset-light outsourced business model has proven to be a competitive advantage in these difficult times. Importantly, despite volatility in both demand and supply, our margins have been stable and our cash flow steady and sufficient to support future growth. 05:08 Lastly, I want to recognize our employees and leadership team who have performed superbly while operating remotely. They executed well against our plans amid an uncertain operating environment that enabled us to make investments in our brands, in our organization to position us to deliver sustainable sales and earnings growth as consumers in the economy continue to recover from the pandemic. 05:36 We had a solid fourth quarter with net sales up sixteen point nine percent. As expected workplace mobility was similar to last quarter and growth was relatively in line with our expectations. Improvements in consumer mobility and shopper traffic versus last year's COVID restrictions resulted in favorable product and customer mix, and combined with favorable trade promotion more than offset supply chain cost inflation. 06:07 As a result, fourth quarter gross margin increased sixty basis points versus the year ago period. Adjusted EBITDA in the fourth quarter increased thirty point nine percent to forty eight point five million, primarily due to the solid sales growth, favorable trade promotion and G and A cost controls. This more than offset higher marketing investments, and incentive compensation. 06:38 Total Simply Good Foods, Q4 retail takeaway increased eighteen point seven percent in the U.S. measured channels of IRI MULO + Convenience Stores. With no meaningful change of workplace mobility, retail sales were about the same as last quarter. Throughout the pandemic, we've executed well and remain committed to doing the right things over the long term for our business, our customers, and our consumers. 07:10 In the first half of fiscal year twenty twenty one the nutritional snacking category declined low single digits due to COVID-nineteen driven movement restrictions. In the second half of the year, the category rebounded and increased about twenty four percent. The shopper traffic increased versus the year ago period. 07:31 Simply Good Foods performance outpaced the category in the first half of the fiscal year and was relatively in line with the category in the second half. Importantly, our brands gained share in their respective sub segments of weight management and active nutrition across all time frames during the year. 07:51 The active nutrition segment of the category, which includes Quest increased thirty five percent in the second half of the fiscal twenty twenty one. As it is done all year, Quest outperformed the segment and was up forty four point five percent over the same period. 08:08 In the second half of the year, the weight management segment was up about eight percent. Atkins outperformed the segment with retail takeaway, up twelve percent. And we're extremely pleased with our e-commerce performance in the fiscal year. Full year retail takeaway of forty percent exceeded measured channel growth. 08:30 As expected with brick and mortar shopper traffic increasing in second half of the year, e-commerce point of sale moderated and was similar to measured channel retail takeaway growth. Atkins Q4 U.S. Retail takeaway in measured channels increased eight point seven percent. Growth in total buyers and increasing shopper trips particularly in the mass channel, along with improved consumer mobility resulted in growth across all forms and key retail channels. 09:04 In the quarter, bars and shakes increased about three percent and eleven percent respectively. Confections Q4 retail takeaway increased eight point nine percent benefiting from at home snacking users’ occasions and recent innovation. And we're pleased with Atkins e-commerce performance. Amazon, Atkins second largest customer, Q4 retail takeaway increased low teens on a percentage basis versus the year ago period. 09:36 Total Atkins e-commerce point of sale in the quarter was similar to measured channels. Atkins buyer growth remained strong, up double digits for the quarter and the year. Buy rate remained below historic levels by mid-single digits due to the high correlation between consumption of Atkins bars and being at work. Therefore, the improvement in Atkins by rate remains the single biggest opportunity for the brand. 10:10 Let me now turn to Quest, where fourth quarter retail takeaway increased thirty four point nine percent in the measured IRI MULO + C-store universe and outpaced the category. Growth was driven by the increase in household penetration, improving shopper traffic, a rebound in bars and success of new product forms. 10:33 Quest bars’ retail takeaway in the quarter increased twenty three point nine percent, more than fifty percent greater than the segment growth rate. Recall Quest bars are about sixty percent of total Quest retail sales. The snack year portion of Quest products continued to do well and increased one hundred and five percent in the quarter driven by continued strong performance of chips, cookies, and confections. 11:01 We continue to see robust chips demand as we manage supply within our network. We have taken actions to ensure there are no disruptions at retail and have dialed back trade promotions and programming of these items. And as we stated last quarter, we'll be increasing chip supply during this fiscal year. 11:22 We had another good quarter of growth across all key channels. We were particularly pleased with the increased foot traffic of both mass and Convenience Stores. Combined the mass channel and C-Store, Universe represents about forty percent of Quest sales. And in Q4 POS growth in these important channels was up about forty percent and fifty percent respectively. 11:47 Quest e-commerce business nearly twenty five percent of total Quest U.S. sales continues to do well with Q4 retail takeaway up thirty percent. Our business at Amazon remained strong and growth was solid across all major forms. In this fiscal year, we anticipate that marketing will increase in line with sales growth. A new Atkins Rob Lowe advertising campaign is beginning to air now. 12:17 We'll be advertising across all forms with messaging focused on bars are back and taking a healthier approach to life. And I'm very excited to announce that in the fiscal year, Quest in addition to their digital marketing efforts will be on air with television advertising for the first time in the brand's history. 12:37 The fund campaign focused on four individuals and [unheard] [ph] NFK and WNBA rookie, as well as two working professionals who changed careers to pursue their passion. Common thing is that they're all fueled by athlete worthy nutrition in pursuit of their own personal quests. 12:59 Our marketing and advertising will also support our new product launches, some of which you see on this slide. We have a strong innovation pipeline and in the fiscal year have a good balance of new products across both brands in all forms. 13:16 In summary, we're pleased with our fourth quarter results. As we look to fiscal twenty twenty two, we are positioned well to build on our momentum and deliver solid net sales and adjusted EBITDA growth, which isn’t predicated with any meaningful change in workplace mobility. 13:32 We expect that both brands have a solid start to the fiscal year with the growth in the first half of the year, stronger than the second half as the latter period as more difficult year ago comparisons. And as I discussed earlier, we have a good balance of innovation and advertising in place that we believe should generate retail and consumer excitement. 13:53 We continue to expect supply chain cost inflation will be a significant headwind in the year. Pricing and costing savings initiatives are in place to mitigate this impact. We're executing well against our plans and delivering on our financial objectives with flexibility to invest in the business as a path to increasing shareholder value. 14:14 Now, I'll turn the call over to Todd who will provide you with some greater financial details. I'll then end our prepared remarks with greater details and assumptions related to our outlook. Todd?
Todd Cunfer : 14:26 Thank you, Joe and good morning everyone. I will begin with a review of our net sales. Total Simply Good Foods fourth quarter net sales increased sixteen point nine percent to two sixty million. The core North America business contributed seventeen point one percentage points to total company growth, driven primarily by Atkins and Quest volume across major forms and channels. 14:47 Net price realization in Q4 was a slight benefit driven by lower trade promotion. Our core international business was a two point one percentage point benefit to sales growth driven by strong gains in Australia for both Atkins and Quest. And the simply protein brand divestiture and the European business exit were a combined two point three percentage point headwind. 15:13 Moving on to the other P and L items, gross profit was one hundred and four point five million dollars, an increase of eighteen point six percent versus last year. Gross margin of forty point two percent increased sixty basis points versus the year ago period. As expected, supply chain inflation was a headwind this quarter. However, it was more than offset by the previously mentioned lower trade promotion, as well as favorable product and customer channel mix. 15:39 As Joe discussed, we anticipate significant supply chain inflation in fiscal twenty twenty two due to higher cost related to raw materials, packaging and logistics. The price increase that went into effect last month along with cost saving initiatives should largely offset these cost pressures barring a significant step up in cost inflation from current levels. 16:01 Adjusted EBITDA increased thirty point nine percent to forty eight point five million due to the higher sales and cost control. Selling and marketing expense increased six point three million driven by incremental brand building investments on both Atkins and Quest. G and A expense increased one point two million, as higher incentive compensation was partially offset by lower corporate expense and Quest acquisition synergies. 16:27 This excludes fourth quarter fiscal twenty one charges of three point three million dollars related to Quest integration cost, restructuring expenses, stock based compensation, and non-core legal expense. 16:41 Moving to other items in the P and L, interest expense declined one point seven million to seven point two million dollars due to the pay down of the term loan. In the fourth quarters of twenty twenty and twenty twenty one to non-cash non-tax deductible charge related to the remeasurement of our private warrant liabilities was fifty one point seven million and five point five million respectively. 17:05 The income tax rate was thirty two point seven percent. This includes a five point five percentage point impact related to the non-cash non-deductible five point five million dollars loss on the fair value change of private warrant liabilities. Net income in Q4 was eighteen point two million dollars versus a loss of thirty nine point three million in the year ago period. 17:29 Full year results were as follows: net sales increased twenty three point one percent to one point five billion dollars driven by the acceleration of our business in the second half of the year. Gross profit was four hundred nine point eight million, an increase of twenty six point three percent. Gross profit in the prior year was affected by a non-cash seven point five million dollars inventory purchased accounting step up adjustment related to the Quest acquisition. 17:55 Recall the non-cash inventory purchase accounting step up impacted full year twenty twenty gross margin by ninety basis points. Excluding this amount gross profit was three hundred and thirty one point eight million dollars last year and gross margin was forty point six percent. Therefore, full year fiscal twenty twenty one gross margin of forty point seven percent increased ten basis points versus the year ago period. 18:20 Adjusted EBITDA increased thirty four point seven percent to two hundred and seven point three million, primarily due to the higher gross profit. Selling and marketing expenses increased nineteen point five percent to one hundred and twelve point nine million dollars. The increase was driven by higher brand building initiatives and the full year impact of Quest. 18:39 G and A expenses increased about eleven percent or nine million dollars due to higher incentive compensation and the inclusion of Quest. This excludes charges of fifteen point five million related to Quest integration cost, restructuring expenses, stock based compensation, and non-core legal expense. 18:57 Moving to other items in the P and L, combined interest income and interest expense was about thirty one point five million dollars, about the same as the year ago period. Note that the cash savings from debt pay down during the year was partially offset by non-cash amortization expense of deferred financing. 19:15 The income tax rate was forty nine point four percent. This includes a twenty two point three percentage point impact related to the non-cash non-deductible sixty six point two million dollars loss on the fair value change of private warrant liabilities. Barring an increase in the tax rate by federal or state authorities, we anticipate the full year fiscal twenty twenty two tax rate to be similar to last year, around twenty seven percent. 19:46 Net income for the full year was forty point nine million versus sixty five point six million in the year ago period. The decline of twenty four point eight million dollars is primarily due to the remeasurement of the private warrant liabilities. 20:02 Turning to EPS, fourth quarter reported EPS was zero point one nine dollars per share diluted compared with an EPS loss of zero point four one dollars per share diluted for the comparable period of twenty twenty. 20:13 In fiscal Q4 twenty twenty one, we recorded a non-operating non-cash charge of five point five million dollars due to the change in fair value of the outstanding private warrants. This was about [forty six million] [ph] dollars lower than last year. 20:27 Depreciation and amortization expense was four point seven million dollars similar to the year ago period, and costs associated with Quest integration and restructuring were zero point eight million, four point six million lower versus last year. Adjusted diluted EPS, which excludes these items was zero point two nine dollars, an increase of zero point zero nine dollars versus the year ago period. 20:52 Note that we calculated adjusted diluted EPS as adjusted EBITDA less interest income, interest expense, and income taxes. Full year reported EPS was zero point four two dollars, while full year adjusted diluted EPS was one point two six dollars versus zero point nine one dollars in the year ago period. 21:11 Note that the calculation of adjusted diluted EPS in the Q4 and full year period assumes fully diluted shares outstanding of one hundred and two point four million and one hundred and one point five million shares respectively, versus ninety seven point eight million and ninety seven point four million under GAAP. 21:31 The difference versus GAAP is due to the exclusion of the private warrants and fully diluted shares outstanding under GAAP due to private warrants being classified as a liability on our balance sheet. Please refer to today's press release for an explanation and a reconciliation of non-GAAP financial measures. 21:52 Moving to the balance sheet and cash flow. In fiscal twenty twenty one, the company paid down one hundred and fifty million dollars of its term and at the end of the year, the outstanding principal balance was four hundred and fifty six point five million dollars. In the fourth quarter, the company generated about forty one million dollars of cash resulting in full year cash flow from operations of one hundred and thirty two million dollars. Note that this is impacted by higher levels at inventory as we're carrying a bit more given the growth of our business as well as the need for higher safety stocks. 22:26 As of August twenty eight, twenty twenty one, the company had cash of seventy five point three million and the trailing twelve month net debt to adjusted EBITDA ratio was one point eight times. Capital expenditures for the full year were five point nine million dollars, driven primarily by equipment for a new warehouse. Fiscal twenty twenty two capital expenditures are expected to be similar to last year. 22:50 Depreciation and amortization for the full year was eighteen point two million dollars. We anticipate GAAP interest expense to be about twenty five million, including non-cash amortization expense related to the deferred financing fees. I would now like to turn the call back to Joe for closing our remarks.
Joe Scalzo: 23:10 Thanks Todd. In fiscal twenty twenty two, we'll build on our momentum and expect to deliver solid net sales and adjusted EBITDA growth. We're confident in our business as both Atkins and Quest have strong advertising, marketing and innovation plans in place to drive growth. 23:29 Looking at the key metrics for the full fiscal twenty twenty two, assuming no meaningful change in workplace mobility, we expect net sales to increase eight percent to ten percent versus last year. This includes a one percentage point headwind related to the European business exit. 23:51 We expect supply chain cost inflation in the fiscal year and anticipate the gross margins will be modestly lower versus the year ago period. The price increase that went into effect last month and cost savings initiatives should largely offset these cost pressures, barring a significant step up in cost inflation from current levels. 24:16 Marketing expense is expected to increase in line with sales growth and G and A leverage should result in an increase of adjusted EBITDA, slightly greater than the net sales growth rate. And the decline in interest expense should result in an increase of adjusted diluted EPS greater than the adjusted EBITDA growth rate. 24:40 We anticipate that that the first half of the year will be stronger than the second half of the year from a growth rate standpoint, as the year over year comparisons are more difficult as we proceed through the year. 24:54 Turning to the first quarter, we expect net sales growth to be similar to the fourth quarter of fiscal twenty twenty one. Supply chain cost inflation will be a headwind in the quarter. However, due to existing raw material coverage, as well as the price increase and cost savings initiatives, gross margins should be relatively flat versus prior year. 25:18 Supply chain cost inflation is expected to be a greater headwind for the balance of the year. As we emerge from the challenges of COVID-nineteen, our business is stronger and our organization is more capable as such, we remain confident in our short and long term growth prospects. 25:37 We are executing against our strategies to position us to deliver on our financial objectives with the ability to invest in our business as a path to increasing shareholder value over the long term. We appreciate everyone's one interest in our company and we're now available to take your questions. Operator?
Operator: 26:00 Thank you. [Operator Instructions] Our first questions come from the line of Jason English with Goldman Sachs. Please proceed with your questions.
Jason English: 26:39 Hey, good morning folks. Thanks for slotting me in and congrats on a great year. Two questions. First on service levels capacity, you referenced chips be in a bit capacity constraint. Can you give us some quantification of how much that's holding you back when you expect the capacity to be back online or – not back online, but expanded to be able to meet the demand? And then also related, can you walk through the situation across some your other categories? Obviously there's a lot of service load disruptions in the industry. Give us the status of where you stand with available capacity and service levels and things like bars and shakes, etcetera?
Todd Cunfer : 27:19 Yes. I'll start up with chips. So, we did pull back promotional activity on chips in the fourth quarter. That's part of the reason why we had favorable price realization. So, we were tight on chips and peanut butter cups in Q4. Going into this year that has been resolved. We're actually in a much better position on both of those products. We feel really good about the ability to service our customers this year.
Joe Scalzo: 27:46 And Jason answering to your question regarding kind of other categories. There's no one single issue in our supply chain beyond what Todd just covered, but we're experiencing episodic kind of discontinuities in our supply chain that create a bullwhip effect from a service level. So, you kind of deal with those on a case by case basis, nothing really different than I think everybody is experiencing right now on the sector where service levels are challenged as you deal with an ingredient not showing up or a [indiscernible] not being able to staff a shift. We're dealing with those things pretty much every day.
Jason English: 28:30 Yes. It makes sense. But it sounds like nothing too serious. The second question, leverage now below two times, Quest integration effectively complete. What is your acquisition appetite now in light of those conditions and what are you seeing in the marketplace? Anything interesting at regional valuations?
Joe Scalzo: 28:53 Well, we're always hungry and we obviously have the capacity now to look at assets. So, the market is busy. So, we keep busy looking at those assets and as we've kind of explained externally the folks we like things in our aisle. We like staying in our category, because we understand the category, if it's our supply chain, it fits our selling capability. And we, the first screen for us is always how strong is the brand how well do we understand the consumer targets, do we think there's opportunity to accelerate innovation and marketing communication to build the brand? So, we're staying pretty busy right now. And we will be patient to find the right thing as we always are.
Jason English : 29:42 Good to hear. Thanks a lot. I’ll pass it on.
Joe Scalzo: 29:45 Thank, Jason.
Operator: 29:48 Thank you. Our next questions come from the line of Chris Growe with Stifel. Please proceed with your questions.
Chris Growe: 29:55 Hi. Good morning. I’ll add my congratulations as well. Nice quarter and nice outlook there. If I can ask first in relation to Quest and just kind of how the demographic profile if you will, that users, is that different for Atkins and kind of, then what you expect as mobility improves for active nutrition and for weight management, if that hopefully happens throughout fiscal twenty twenty two?
Todd Cunfer : 30:21 Yeah. So, the target, the interesting thing, Chris I thing you already know this. The interesting thing is the kind of the macro nutrient, kind of the nutritional philosophy of both brands is pretty similar, right? On Quest it's majors and protein because if it's active, consumer benefit, kind of miners and low carb and low sugar where Atkins with the weight management benefit, majors in low carbs and low sugar and kind of miners in protein, but for the most part the nutritional profiles are very, very similar. The consumer benefits and the consumer targets are very different. 30:56 So, on Quest, it's about being active and fueling your ability to be active. So, it tends to be younger, tends to be fitter, tends to be more physically active. So, kind of think of the target audience adults under thirty five. 31:16 Atkins tends to be, got a little bit of weight to lose, tends to be a little bit older. Both groups demographically, financially a little bit better, a little bit better educated, but tend to have a little bit of weight to lose on Atkins and tends to be older, kind of over thirty five. So, no very, very little overlap between the brands.
Chris Growe: 31:37 And as you look through the year, do you – go ahead sorry.
Todd Cunfer: 31:40 What was your second question? As [indiscernible], if we think mobility improves, how will it affect our brands? Interestingly enough, we've seen Quest accelerate during the second half of the year. Even the Quest bar business has done extremely well. And now part of that is channel development C-Store for traffic is better. Amazon is the largest customer Quest of the businesses been channel benefited, but we're seeing even the bar business start to accelerate. 32:17 Atkins we have, we're really encouraged by the growth. So, second half growth was around twelve percent on an absolute level kind of the third and fourth quarter consumption was about the same, the rate has lot to do with what happened last year. But the composition of Atkins is encouraging buyer growth for the year up double digit and what's been holding Atkins back has been the buy rate, which is kind of down mid-single digits, right? 32:45 So, in doing our analysis on Atkins, we understand being at work is an important driver to snacking occasions and has been holding down buy rates. So, we didn't build this into our assumptions on our business, but if mobility improved, we would see, we would expect to see upside on our business and in particular around Atkins and in particular on bars.
Chris Growe: 33:09 Okay. That was very helpful color. Thank you. Just a quick follow-up and, or I guess I had a question around shelf resets and shelf space and I guess there have been some shelf resets, what you're seeing right now from a high level and as you look at the shelf set here for your brands?
Todd Cunfer : 33:27 Yes. So, I'll talk a little history first. We saw good growth on both brands in the last fiscal year. Shelf sets are happening. The ones that happened in the fall are happening as we speak. We expect it to be pretty positive for us. As we've said pretty consistently, the new product pipeline on both brands is pretty good. So, we would expect pretty good performance there. And I would also say, retailers have relearned the importance of large brands to drive category, consumers study to the category and to the aisle. 34:07 And so, we see them kind of focusing in general focusing on larger more important brands. To keep the [rails] [ph] healthy and keep their categories healthy. So, we're benefiting from those tailwinds.
Chris Growe: 34:18 That seem to work well this past year. Yes. Thank you. Okay, that's great. I appreciate your time this morning.
Todd Cunfer: 34:23 Thanks, Chris.
Operator: 34:27 Thank you. Our next questions come from the line of Wendy Nicholson with Citi. Please proceed with your questions.
Wendy Nicholson: 34:33 Hi. Two questions. First, short-term, do you think there's any need for more pricing? It's great that the pricing you took in June has gone through, but do you think that there has been sufficient either commodity or freight inflation that you need to take more? And then second question, longer term, I know you talked about favorable operating leverage as enabling adjusted EBITDA to grow faster than gross profit. But you've been able to reduce SG&A now for I think, three years in a row as a percentage of sales. And I'm wondering how much further you have to go, you're doing a great job advertising more, so, how much more fat is there in G and A before you start to cut into muscle from a productivity perspective? Thanks.
Todd Cunfer: 35:15 Yes. So, I'll take the first one. So, from the pricing, gross margin perspective, first, I'll just start off and say, we're super proud of our ability to expand gross margins by sixty basis points in Q4, and ten basis points for the full year, just given this supply chain environment out there right now. Second, we saw the inflation coming. We priced very aggressively to manage that inflation and feel really good about execution of that by our sales force. 35:48 Commodities are not slowing down. To be frank, we thought, when we took the price increase, we might see some leveling off especially in our second half of the year, we're not seeing that yet. We're still hopeful we're going to see that, but some commodities are slowing down, some are still growing at accelerated rates. So, right now, we feel good about the guidance we've given. 36:12 We don't feel like we need to do any additional pricing if we do, see some modest increase in our cost assumptions. I think we can manage that through trade expense, I'm pulling back there a little bit. But if we see an acceleration beyond what our expectations are, all levers are in play, we will price that we have to. 36:37 Regarding the SG&A leverage, I would say there's two reasons why we're getting so much leverage right now. One is, the Quest integration and the synergies that we got from that. Obviously we reduced some headcount with the combined company. We’ve got some great synergies that we've executed almost fully at this point. So, that has helped. 36:58 Second, is just the growth in the business, when you're growing ten percent, fifteen percent, twenty percent top line, you can, and G and A is only growing maybe four percent or five percent, you get some significant leverage. So, I don't see us pulling back on absolute dollars in G and A. But I think we'll continue to get leverage in our P and L as the business accelerates. 37:23 Got it. That sounds great.
Joe Scalzo: 37:25 Wendy, this is Joe. I just want to, I’d add a little bit of color to what Todd said, and he’s being modest, his team has done a phenomenal job of seeing in cost inflation soon enough and estimated it well enough that it put us in a position to take what was a pretty aggressive price increase in September. We don't see the need to price again. So, mid to upper single digit pricing, we feel like we're in very good shape through the fiscal year. 37:59 We would have to see a significant acceleration of commodity cost inflation relative to where it is right now in the second half the year to even think about pulling that lever, and we frankly think that's a relatively low probability. So, really congratulations to Todd team. Part of our success has been seeing it early enough and not being too optimistic that it's not going to be too bad. We took a very aggressive cost inflation point of view that compelled us to take some aggressive pricing in the marketplace.
Wendy Nicholson: 38:34 That's sounds fantastic and very, very rare among your peers. So, definitely congratulations on that front. But just as a follow-up you did talk about sort of lower levels of promotion and to the extent you see an increase in mobility and you're eager to remind those people that they need to by either Atkins or Quest as they go back to work, what type of step-up in your promotional spending or promotion activity do you have embedded in your forecast for fiscal twenty two or how much flexibility do you have to step up that promotional activity?
Joe Scalzo: 39:07 We tend to always lean in the first half of the year believing that the sales will come and then we'll have back end room to spend. So, we're leaning into our marketing programming as we speak and we'll continue to do that through January and February.
Wendy Nicholson: 39:24 Terrific. Thanks very much.
Operator: 39:29 Thank you. Our next questions come from the line of Steve Powers with Deutsche Bank. Please proceed with your questions.
Steve Powers: 39:36 Hey, thanks guys. So, you mentioned earlier in the conversation with Chris, some of the successes, particularly on Quest that you've had winning occasions that maybe less tied to mobility than maybe would have been the assumption in the past, I'm assuming particularly around things like chips and cookies. I was hoping you could just talk about how that experience maybe influencing your decisions around R and D prioritization and whether you see more opportunity now to, in fact cultivate more of those occasions that are independent of consumers being on the go or if that's not how you're thinking about it?
Joe Scalzo: 40:16 Our focus on what Mark has coin is the snack here portion of our portfolio was underway before we acquired Quest and accelerated under the phenomenal R and D team led by Jeremy Ivie. So, we've had a focus on it. And the reason for is, it's incremental use occasions in need states to bars and shakes. 40:42 We knew that from Atkins because we had a really big and very strong confection business from the earliest days and now we have a cookie business and a chip business and a growing confection business on Quest. So, we kind of understood that that those would be incremental consumption occasions. Along comes COVID and then we learned that while a lot of our consumption is, in particular on Atkins is consumed at work and in transit. 41:14 So, we kind of, we're a little fortunate and that our diversification by form and additional need states of use occasions became a nice offset to our bar business. By the way, we're not deemphasizing our bar business. We're emphasizing the opportunity to grab new use occasions through other forms and you should expect us to continue to do that, and we'll continue to innovative bars because it's a big and important portion of our business.
Steve Powers: 41:42 Great. Great. And then you mentioned leaning into advertising in the first half of the year and you talked in the presentation about some of the initiatives both in Atkins and now Quest, can you just maybe elaborate on what you're hoping to achieve, especially on the Quest side of that and if it ties into what we're just talking about in terms of the broadening of those occasions?
Joe Scalzo: 42:03 Yes. So, this category is underpenetrated and the marketing challenge pretty much regardless of the brand you're running, is to grow household penetration and bring more buyers in. So, I have eight years of experience with Atkins, the single biggest correlation to growth has been our ability to grow buyers. 42:27 So, we always are focused on how to do that. In the case of Atkins, it's a high brand awareness brand. Virtually, everybody knows the brand. The marketing challenge with Atkins was to change their point of view of what they knew. And the marketing efforts are all built around that. The repositioning of the brand away from a programmatic weight loss brand into a low carb lifestyle weight management expert, right. 42:55 I think we've done a pretty good job of doing that. We feel really good about the growth prospects. In the case of Quest, big brand growing fast, still relatively modest brand awareness. So, over the last few years, people have met the brand by showing up at the shelf and finding really great products that they've tried. Our opportunity on Quest is to drive brand awareness, shape people's point of view about what the brand is about, which our new campaign does. And in doing so, you create pressure at the top of the funnel. I create brand awareness, drives brand consideration, accelerates trial and repeat. 43:34 So, the same strategy, you got to invest to drive buyer penetration, but two different marketing challenges. One is about changing people's points of view about what they thought about the brand, the other is introducing them to the brand. And we've got marketing efforts and marketing investment designed to do those two things.
Steve Powers: 43:58 Okay. That's awesome. Thanks, Joe. If I could just squeeze one more in, just going back, Jason asked about the initiatives to add progressive capacity in snacks. I guess maybe just give us a little bit of a sense of the pacing of that through twenty, through fiscal twenty two? And then, where you kind of expect your theoretical capacity to sit starting in fiscal twenty twenty three relative to where we've been at the fiscal twenty twenty one run rate? Thank you.
Joe Scalzo: 44:25 Yes. I'll kick it off and then I'll turn it over to Todd, who's been closer to it. The first thing I would say, is our challenges on chips and peanut butter cups are because the consumer response far exceeded our expectations on both. So, we did not go into the marketplace believing we're going to have a supply challenge. So, this is not about a supplier falling short on what they provided us. We said they were going to provide us. This is about us not seeing the consumer response that would have been two really great products. 44:59 And so, as we on chips last year as we move through the year, every time we got more supply, we absorbed it with demand. And so, we were not able to build inventory. We weren't able to keep up with service So, we, knowing that changes in capacity takes some time, we slow demand down to build inventory so we could service the business at what is an appropriate level. And I'll turn it over to Todd. He can talk to you about the moves that we're making to add capacity on chips as we speak.
Todd Cunfer: 45:34 Yes. So, but again, both on ships and cuts, we talked about it earlier, we were short or very tight on supply when we got into Q4. That is largely behind us at this point, we've added capacity on both products in the last month or so. So, we're actually in pretty good shape right now for FY twenty twenty two. We actually have more capacity coming on at the end of this year in the beginning of FY twenty twenty three on chips cups and some other products. So, I think we're in pretty good shape for this year and then as we get into FY twenty twenty three we will actually have expanded capacity to grow the business.
Steve Powers: 46:17 Okay. Thanks to you both. Appreciate it.
Operator: 46:22 Thank you. Our next questions come from the line of Jon Andersen with William Blair. Please proceed with your questions.
Jon Andersen: 46:29 Good morning, everybody and congratulations on a great year. I wanted to ask a little bit about household penetration or come back to that because as you said, Joe, it's I think the highest correlation with the growth, particularly for the Atkins brand. Where do you sit today on household penetration for the two brands and household penetration growth has been strong to your point, up double digits this year? Are you seeing the strong growth on both of the brands? And who are these new consumers that you're attracting? Is it the snack year consumer based on the kind of innovation and occasions that you're capturing? So, any commentary around that, kind of the current state of household penetration, the growth and the complexion of that growth in household penetration? Thanks.
Todd Cunfer: 47:25 All right. You're talking about the thing I don't sleep about all the time, right, which is where they going to come from and who we getting. So, growing penetration on both brands, Atkins is, we identified our positioning shift, which happened around the time we went public was a move from focusing on what we call low carb [program diners] [ph]. 47:53 Two, and at the time, what we did the study, we thought they were somewhere around eight million of those. And we had done a nice job in the previous eight years targeting those and having successful growth. 48:06 The research that we did say, there were about thirty three million more low carb consumers, lifestyle consumers who had kind of weight management as one of their consumer benefits. So, it's not about weight loss. It's about living with my weight every day and how do I keep that under control? And we've been targeting that consumer, it led to a shift in consumer communication, around fast weight loss, lose twelve pounds in eight weeks, pre and post pictures of people that – or celebrities pre and post to Rob Lowe, skinny dude, never had to lose weight because he knows how to eat and he lives a Atkins lifestyle. 48:55 So, we've been going after those, that consumer target. And I haven't seen a study in the last year, but when we – last time we looked at it those self-directed low carb was a source of growth, not a surprise. In the case of Quest, we gathering our database on Quest from a consumer standpoint. Here's what I do know. The single biggest contributor to Quest household penetration growth has been the growth of chips. 49:23 The other forms have been more stable from household penetration standpoint, but we brought in a significant number of new buyers on chips and they were incremental to the brand, which then leads to a series of marketing questions, why do they buy bars? How do we get them to buy more products? And I've already asked all those questions and the marketing team is working on those things. 49:49 The other thing I want to know about Quest that we're still trying to learn is when I bring them in, do they stay, how much do they buy, how long do they stay, right? Some of the things that are fundamental to effective marketing, what's their life by value and we're in the middle of that work and as soon as I know more, I'll share it with you.
Jon Andersen: 50:11 That's helpful. You anticipated my next question there. So, I'll leave those for your call. But one other follow-up on that, the, as you extend the brands into, you know with other product forms, to serve additional occasions. And I'm particularly thinking about Quest, which as you mentioned earlier is about active nutrition, active lifestyles, fit individuals and you're moving the brand from kind of a bar orientation into more indulgent occasions with frosted cookies this year for instance, do you worry that you maybe lose that a part of that core active fit positioning or is it just, am I not thinking about it the right way that it is just open ended and you don't risk losing that kind of that or turning off that kind of core consumer that has brought you to where you are with it? Thanks.
Todd Cunfer: 51:10 Great question, and it was core to the change in strategy and communication. So, if the campaign that was being run prior to the one that just went on air was around the snacks that you crave with the macros that you love, right. So, no compromise, I can get a snack, those things that I would see on a super bowl table for snack table. Those are the things I really crave and I want to have those every day, but I don't want bad macros, right. 51:46 I don't know to be low, high in carbs and sugar and low in protein, right? So that was the positioning before around [craveability] [ph] of snack. The positioning now, which is an evolution of where we were is around athlete worthy nutrition, even though you don't need to be an athlete. And it's around fueling people’s desire for whatever they're trying to achieve. So, it's about to some degree about self-actualization without compromise. 52:18 So, great tasting products that fuel my desire to achieve what I want to achieve. So, we moved away from craveability. Now the products themselves, there's elements of this that are highly indulgent, like you mentioned our ice cookies, but frankly, it's still around, it's regardless of the snack form. It is completely about athlete worthy nutrition, even though you don't need an athlete. And so, we were very choiceful in the campaign. We picked aspiring professional athletes. 52:55 So we picked two, an NFL Rookie and WNBA Rookie, because they're still on a quest to be successful in their professional careers and our target audience finds them very aspirational. And then we picked two people, kind of who changed their career midstream, a former professional football player who became a firefighter, a former office person who became a yoga instructor, right. So again, it's about fueling their aspirations and their quest in life. And we think the positioning addresses that question. That exact question that you asked.
Jon Andersen: 53:37 Very helpful. Thanks so much.
Operator: 53:42 Thank you. Our next questions come from the line of Eric Larson with Seaport Research Partners. Please proceed with your questions.
Eric Larson: 53:49 Yes. Thanks everybody, and I'll extend my congratulations as well. I guess, my question is probably more for Todd here, but I'm just trying to get a little bit clear cadence on how your gross profit margins are going to work, so you priced in June, you announced in June and you priced September twelve. So, Q1 is going to get all but maybe a few days if your pricing, is what's holding up the margins as you're still seeing in the first half favorable channel and customer and product mix and that you might be taking a more conservative stance on a comparison basis in the second half, so should we be conservative on our gross margins in 2H?
Todd Cunfer: 54:32 Yes. So, for the first quarter, we actually still, as we said in our remarks, Q1 actually gross margin should be relatively flat. We still have some coverage at very attractive prices through Q1. And despite what you correctly said, we're not going to see much of a pricing benefit in the quarter. 54:54 We still had some very favorable coverage and we do have the channel and product mix that you mentioned, which will allow us that we believe to keep gross margins relatively flat in Q1. That coverage largely goes away as we enter Q2. 55:12 So, we do have coverage throughout the first half of the year, but once we get into Q2 and beyond the pricing is not as attractive as we've had in the second half of this year and this first quarter. So, margins will start to contract as we get into Q2 and beyond, but you can expect gross margins to be relatively stable in the first quarter.
Eric Larson: 55:38 Okay. Thanks. And next question is for Joe. So, Joe, I think you've covered a whole bunch of these points already, but when you look back at your sort of your initial guidance on Quest, I think you said, well we're going to go at Quest quite slowly because we don't want to screw it up. I think that was your comment and you've precisely done that, but as you look at Quest now, obviously, helpful penetration is a big positive. Are you more optimistic on Quest today? And just kind of give you, give us our thoughts because the growth there has been phenomenal and I guess the question is, is it kind of, how sustainable is that growth and I'm just curious on your perception of Quest post acquisition?
Joe Scalzo: 56:35 Yes. We had high aspirations and a strong belief in the brand and the performance of the brand has exceeded both of those. So, the business is performing singularly outstanding, and it's been kind of the recent innovation that has been a key driver of the brand. So, the R and D pipeline that we acquired with the brand has for the most part outperformed our expectations. They are very high on chips, strong performance on cookies, strong performance on its entry into infections, RTD’s kind of a push, right, but the other farms performed really, really well. 57:21 So, and then we believed that there was opportunity to continue to sharpen the positioning of the brand because people's – if you just talk qualitatively to people and focus groups who have purchased the brand, they really don't know for the most part what the brands stands for. Core user that bought the protein bar probably saw it in a gym or brought it online, but was part of that little echo system that core user. Those brands understand and knows its history, believes in it. 57:56 A lot of the recent growth in consumers less clear about what the brands stood for. So, our opportunity on the brand and I think we're just in the early stages of that, is you said it, we don't want to screw it up, so we will slow about the positioning of the brand. But we feel like we've got, we got a strategy. We've got communication execution that will grow brand awareness and create a positioning in people's mind around the brand that will enable it to continue to grow beyond just a product innovation.
Eric Larson: 58:34 Okay. And just a quick follow-up on that. Obviously part of your household penetration is potentially increased distribution, but you haven't mentioned distribution specifically, what might be the opportunities in that for Quest?
Joe Scalzo: 58:52 Well, certainly on Quest it has been because grew distribution on chips, chips outperformed all year as we grew distribution on it. And it grew household penetration. So, in the case of Quest, I can directly tie filling white space with a snack item that grew, significantly grew household penetration. So, I think in that case, white space was really important to brand. 59:16 The only reason we tend to be conservative about talking forward on distribution is, I’ve been in businesses where you build distribution and your velocity per item falls and it's less incremental than you think. So, we just like to see it in the marketplace performing before we talk about its incremental value either from a volume standpoint or penetration standpoint. I like our pipeline. Our pipeline, I believe will be incremental to our core consumption. 59:48 So, innovating beyond bars and shakes I think will be a key strategy to our business going forward. We just like to wait and see how it performs before we talk to you about how we feel about it. I expect with our pipeline, we'll have nice growth in the breadth and the depth of penetration in the marketplace on both of our brands. 60:13 We'll see how they perform from an incrementality standpoint and the ability to drive new buyers to our brand. Our track record is pretty good on both of those I might add, but let's wait and see and see how they perform.
Eric Larson: 60:25 Okay. Thank you for your comments, Joe.
Joe Scalzo: 60:27 You're welcome.
Operator: 60:31 Thank you. Our last question of the day comes from Kaumil Gajrawala of Credit Suisse. Please proceed with your questions.
Kaumil Gajrawala: 60:39 Hi, thanks everybody for I guess squeezing me in, and I'll reiterate what everybody has said about – well done on those pricing maneuvers. I think you guys have one exception than the rule. If I ask you a little more detail on the mix effect on margins, and maybe the mix effect that you expect on margins given there's increase in mobility, obviously, there's mix effect as it relates to product mix, is there maybe a general idea you could give us on how just the impact of what the impact of mix will have on your margins?
Todd Cunfer : 61:15 Yes. So, I mean there's really two big drivers. So, as we – last COVID, bars got hit very hard last year during the initial year of COVID. So, as that has come back, bars on both brands is the highest margin products we have. So, that's a huge plus. The second piece I would say is from a channel mix perspective brick and mortar obviously got impacted greatly during COVID, particularly on our business and the e-com world went crazy. E-com margins, we have are very good, but they are a little bit below our brick and mortar. 61:15 So, brick and mortar and e-com now has got more and balance from a growth perspective that has helped as well. I can't give you exact number, but it's been probably, it's been positive, we're not talking a huge amount of delta here because our margins by customer and by form are not dramatically different. But it's been a positive benefit. And I think we'll continue to see that in Q1 and Q2 and that will help us mitigate some of the inflation impact.
Kaumil Gajrawala: 62:29 Okay, great. And if I can ask you about e-commerce and if the trends are any different in what you're seeing maybe in your spins data or whatever it is from a market share perspective in your channels outside of the [tract channels] [ph]?
Todd Cunfer : 62:45 Yes. So, we've done really, really well in e-com. We have gained share to – obviously with the major e-com player out there. We feel great about our business there, particularly on the Quest side as the growth just continues to be incredible. So, market share has been very positive for us for the last couple of years.
Kaumil Gajrawala: 63:14 Okay, great. Thank you.
Operator: 63:19 Thank you. There are no further questions at this time. I would like to turn the call back over to Joe Scalzo for any closing comments.
Joe Scalzo: 63:26 Thanks for your participation on today's call. We hope you continue to remain safe, and we look forward to updating you on our first quarter results in January. Have a good day.
Operator: 63:37 Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.